Philip Ludwig: Welcome, everyone, joining us today for the Melexis Fourth Quarter and Full Year 2025 Earnings Call. I'm Philip Ludwig, Investor Relations Director at Melexis, and I'm joined today by our CEO, Marc Biron; and CFO, Karen Van Griensven. Earlier today, we published our press release and presentation, which can be found on our website. We will start with some brief remarks on the business and financials before taking your questions, starting with Marc Biron. Marc, the floor is yours.
Marc Biron: Thank you, Philip. Hello, everyone, and welcome to this earnings call. Let me start by sharing some perspective on the full year of 2025 and how we see 2026 as of today. Then we will discuss the last quarter of 2025. Looking back at 2025, at the beginning of the year, we had entered a phase of customer inventory correction later than our peers. We are now in a period with more geopolitical uncertainties and more short-term volatility in demand. The period of customer inventory correction was largely completed by the summer. As a result, our sales were stable or grew sequentially as the year has progressed. High in-quarter ordering has started in Q2, which we could serve from our strategic inventory. Still in 2025, sales in our largest region, APAC, has increased as a percentage of group sales. China has followed an alternating pattern of very strong sales in one quarter, lower the next quarter and strong again in the following quarter as it was in Q4 when we recorded our highest ever sales in China. Now looking ahead to 2026, we remain in the recovery phase of the automotive demand cycle. We expect that these sales will not be linear given all the uncertainties and the late ordering behavior of our customers. Following the very strong Q4, sales in China continued their alternating pattern in Q1, also influenced by Chinese New Year mid-February. We are also facing the expected volatility in our nonautomotive business such as digital health application. Finally, we have to factor in the impact of the annual pricing agreement that we have closed at the end of 2025. Those effects translate to a similar level of sales in the first half of '26 in comparison to '25. We expect growth in the second half of '26 with a similar dynamic as in '25. Now turning to the last quarter of '25. Sales of EUR 214.5 million means that we returned to a year-on-year growth of 9%. China posted its highest ever sales and the rest of Asia was also strong. Total APAC sales were up double digit year-on-year and sequentially, while Europe and the Americas were lower sequentially. On the innovation front, we leverage our technology leadership with strong design wins and an expanded pipeline of opportunities across China, Europe and South Korea. This trend is also valid in robotics with the pipe of opportunities up by a factor of 5 in Q4 versus the previous year. We have launched 19 new products targeting structural growth trends in automotive and robotics. In the last quarter, this included a game-changing inductive sensor for steer-by-wire application that simplifies design and reduces cost, paving the way for the next generation of electrified and autonomous vehicle. We have launched also a code-free driver for automotive ambient lighting, which streamlines the development cycle and reduce the cost of our customer. We also see the high potential in power electronics, and we are extremely proud to offer a world premier protective device called snubber. This unique solution protects and enhance power density of silicon carbide power module. All major power electronic manufacturers have shown interest in our product. A great example is Leapers Semiconductor, a Chinese manufacturer of advanced power module incorporating our snubber in their next generation of module. Our new protective device family will continue to expand to meet the evolving needs of power modules and emerging power applications. We have been growing faster than many peers in China over the past 5 years with our broad offering on high-performance and high-quality product and our strong local team to support customers. From my side, I came back from China 2 weeks ago. I'm really impressed how hybrid is gaining traction and how content reach -- are reaching mid-range car much more heavily than in Europe. To continue our trajectory in China, we are accelerating the implementation of our China strategy, including localization of our supply chain. A key step is to have local wafer supply, and we are fully on track to start shipping product this summer based on the 12-inch wafers from our local partner. We also established a dedicated robotics team in China to respond to the stronger interest with more than 60 projects currently underway. As part of our strategy to win in faster-growing markets, we are increasing our effort in India, where we enjoy strong double-digit growth. India presents great opportunities in automotive as well as in alternative mobility, playing to our strengths. We are finalizing the setup of a Melexis entity in India to show our commitment to serve customers locally and further develop in this attractive and growing market. I will now hand it over to our CFO, Karen Van Griensven, to provide more detail on our financial results and outlook.
Karen Van Griensven: Thank you, Marc. So sales for the full year 2025 were EUR 839.6 million, a decrease of 10% compared to the previous year. The euro-U.S. dollar exchange rate evolution had a negative impact of 2% on sales compared to 2024. The gross result was EUR 324 million or 38.6% of sales, a decrease of 19% compared to the last year. R&D expenses were 13.8% of sales, Q&A (sic) [ G&A ] was at 6.5% of sales and selling was at 2.4% of sales. The operating result was EUR 134 million or 16% of sales, a decrease of 39% compared to EUR 219.9 million in '24. The net result was EUR 112.5 million or EUR 2.78 per share, a decrease of 34% compared to EUR 171.4 million or EUR 4.24 per share in 2024. Sales for the fourth quarter of 2024 were EUR 214.5 million, an increase of 9% compared to the same quarter of the previous year and stable compared to the previous quarter. The euro-U.S. dollar exchange rate evolution had a negative impact of 3% on sales compared to the same quarter of last year and no impact on sales compared to the previous quarter. The gross result was EUR 82.3 million or 38.4% of sales, an increase of 6% compared to the same quarter of last year and a decrease of 1% compared to the previous quarter. R&D expenses were 14.5% of sales. G&A was at 6.7% of sales and selling was at 2.5% of sales. The operating result was EUR 31.5 million or 14.7% of sales, an increase of 14% compared to the same quarter of last year and a decrease of 17% compared to the previous quarter. The net result was EUR 22.6 million or EUR 0.56 per share, an increase of 24% compared to EUR 18.3 million or EUR 0.45 per share in the fourth quarter of '24 and a decrease of 18% compared to the previous quarter. Now turning to the dividend. The Melexis Board of Directors approved on February 2 '26 to propose to the Annual Shareholders' Meeting to pay out over the result of '25, a final dividend of EUR 2.4 per share, which will be payable after approval of the Annual Shareholders' Meeting. This brings the total dividend to EUR 3.7 per share, including the interim dividend of EUR 1.3 per share, which was paid in October 2025. Now for our outlook. here, Melexis expects sales in the first quarter and first half of 2026 to be around the same levels as the previous year. Sales in the second half of 2026 are expected to grow compared to the first half of 2023. For the first half of 2026, Melexis expects a gross profit margin around 40% and an operating margin around 17%, all taking into account a euro-U.S. dollar exchange rate of EUR 1.17. And for the full year 2026, Melexis expects CapEx to be around EUR 40 million. Our outlook includes the first benefits of our cost actions taken in 2025, such as improvement in the cost of yield. We remain disciplined in executing our cost improvement road map, for example, a shift in some operations to be closer to customers in Asia, and this to keep moving towards our long-term margin objectives. This concludes our remarks. We can now take your questions.
Philip Ludwig: Thank you, Marc and Karen. [Operator Instructions] Operator, can you now give instructions and open up for Q&A?
Operator: [Operator Instructions] The first question is coming from Aleksander Peterc from Bernstein.
Aleksander Peterc: I think the first one was pertaining to your guidance. So as in last year, this year, you also refrained from a full year guidance, could you give us a bit more color. So just help me understand if I got this right. So H1 flat. And then I think, Marc, you said in your introductory remarks that second half should be higher than the first half in a similar manner to what we've seen in '25. So is it then right to assume we're looking at a ballpark something about flattish for the full year? I'm not trying to extract the full year guidance for you. I'm just asking if the math is correct here. And then I have a quick follow-up.
Marc Biron: Yes, I confirm your understanding. In my introduction speech, I have indeed mentioned that H2 will grow in a similar manner than H2 last year.
Karen Van Griensven: But we can indeed -- yes, that volatility remains -- it's very low. So the -- if you look purely at Q1, we see that mostly Asia is staying behind. So Asia was very strong at the end of last year. We see it -- the order intake there is much lower than, for instance, for Europe. Europe is actually increasing. So it's all attributable to Asia and particularly also China. And we know that in China, there is a lot of volatility in order behavior and also very late ordering. So I want to put that also in that perspective.
Aleksander Peterc: Very useful. And then secondly, on China versus Europe, we have a lot of debate going on about Chinese vendors, automotive brands gaining share in Western markets. What does this imply for your market share? Do you have your market share with local Chinese players that is similar to what you have in Europe? Or is there a discrepancy there?
Marc Biron: Looking at the past 5 years, the CAGR of Melexis grew by 10% -- a bit more than 10% over the last 5 years. And in China, the CAGR grew 14%, which is higher than the majority of the peers in China. And I do believe we are gaining market share in China if we compare to the CAGR of Melexis with the competition. And there is nothing structural that would tell me that this will change in short term. And I would say, in the longer term, when we consider our design win, our pipe of opportunities, we see also that those design wins and the opportunity pipe is increasing faster in China or in Asia than in Europe.
Operator: The next question is coming from Amelia Banks from Bank of America.
Amelia Banks: Yes. My first question is just on gross margin. You sort of said last quarter that you saw around cumulative sort of 4 percentage points of temporary headwind stemming from yield issues and wafer inventory revaluation. I'm just wondering if you could maybe break down what you were seeing in Q4 and then also in terms of bridging sort of how you're seeing that guide to get to 40% in H1?
Karen Van Griensven: Yes, we still had that same headwind in Q4 indeed because of inventory revaluation. We also still had high cost of yield. But this we -- this cost of yield, both effects -- well, particularly cost of yield is what will drive margin improvement in 2026. It will be a major contributor, and that is the reason why we expect around 40% gross margin in the first half of the year.
Amelia Banks: Okay. And is that largely just reliant on sort of revenues picking up and demand picking up to get sort of through the sort of yield issues, the wafers that you're seeing in your inventory. Is that the main sort of driver of that?
Karen Van Griensven: No, it's that we get more material out of one wafer. So it's not volume related.
Amelia Banks: Okay. I just remember last quarter, you were saying about how you have sort of yield issues in one of your fabs, and that's led to sort of impacted wafers in your inventory that you're still having to work through. Is that still relevant?
Karen Van Griensven: Most of that material has now been -- is now out of the inventory. So we now have in inventory wafers with higher yields, and that is helping us to improve the margin.
Amelia Banks: Okay. Perfect. And then just my quick follow-up. Just on the sort of annual price resets. So just wondering if you could maybe guide on what sort of ASP change you've been seeing in '26 sort of versus 2025.
Karen Van Griensven: I believe the average selling price in '26 will be close to the '25 average selling price. That is the expectation today.
Operator: The next question is coming from Janardan Menon from Jefferies.
Janardan Menon: I'm just looking for your second half guidance. I'm just wondering what is giving you the confidence that you will see the kind of increase in the second half like you saw last year, especially given your commentary on quite a lot of volatility in the China market. Are you expecting that market to stabilize over the next couple of quarters and therefore, give you some upside there? And just associated with that question is we just came off the Infineon call, and they said that perhaps because some of the customers, including in automotive and other areas is concerned about strong AI demand getting to -- giving rise to supply tightness even in areas outside of customers are willing to put more longer-term lead time orders now just to avoid any future capacity tightness. So is that something that you're seeing, which is also giving you some confidence on the second half of the year?
Marc Biron: I think there is indeed multiple reasons for this statement on the second half of the year. First, we know that the inventory at our [indiscernible] in Asia, in particular in China is very low. And we know that they will reorder later in Q1 or in Q2 because the inventory is really low, especially in China and especially for the magnetic products, I would say. The second reason is we are -- in many big customers, we are changing the version of the products. And this change of version will happen in Q2, Q3. And it's why our customers are now busy to reduce their inventory of the previous version before they order the new version, let's say, the more modern version. This is clearly visible for drivers product, but also for some ASIC. Yes, in our price negotiation that has been finished in December, we have also received the forecast from our customers. And clearly, the forecasts are stronger in H2 versus H1. Those are the different reasons, let's say, that bring this comment. To follow up on your question about the, let's say, the supply problem, we have some sign, let's say, for example, of assembly house, where indeed those assembly house are moving, let's say, their capacity to different kind of package, more complex package in order to incorporate those complex AI chips. Yes, we have this view, let's say, from the assembly house, no really yet consequence on Melexis, no real consequence on any allocation, but there is indeed this trend, which is a bit more than the noise, I would say.
Operator: The next question is coming from Craig McDowell from JPMorgan.
Craig Mcdowell: The first one, I'll just go back to the gross margin. And just can you help us understand the step-up from Q4 into Q1? On the face of it, the sequential improvement, I think, around 150 basis points. It looks quite difficult given volumes, annual price inflation kicking in, currency likely worse. Just trying to understand what's going to get us to that sort of 150 basis point step-up in the face of those headwinds. I've got a follow-up as well.
Karen Van Griensven: Yes. I can only repeat the biggest reason why that will happen is indeed that we have gone in inventory through most of the products with high cost of yield loss. So we will -- and as you remember, that was a high contribution of reduction in gross margin in '26, close to 2%. So -- but as we are now leaving that mostly behind, we will see improvement as of Q1 already. Price erosion that we also see in Q1, of course. We still expect a step-up because of this big improvement in cost of yield.
Craig Mcdowell: And then just a follow-up. I realize it's early, but I appreciate your thoughts on the acquisition announced with MSO around sensor portfolio by Infineon. Just wondering your reaction of how that might change competitive dynamics in that segment of the market where obviously you're strong.
Marc Biron: Yes. In our, let's say, product scope or application scope, yes, OSRAM is not a real competitor of Melexis, meaning that I think this acquisition will not change a lot for us.
Operator: The next question is coming from Francois Bouvignies from UBS.
Francois-Xavier Bouvignies: I have actually really one question. I mean when I look at your revenues, so you mentioned flat year-on-year in Q1 and Q2. Now when I look at your competitors like Allegro, for example, which I think is the closest, I mean, they are growing their auto revenues by more than 20% year-on-year in December quarter and March, by the look of it, is still 19%, 20% year-on-year. So they are really growing significantly. You mentioned China growing 14% in the last 5 years, but I would imagine that the growth in China was actually higher than 14%. I mean, given all the EV growth that you have seen, the car sales as well in there. So the content and the growth in China was clearly higher than that. So what I'm trying to understand is, is there anything structural here? I mean, a bit more because it feels a bit more than an inventory correction, especially when you compare the growth with some other peers. Even NXP is growing 11% in autos. TI is growing low teens. STM is growing mid-teens in March quarter. So you seem to be well below the others. So I'm just wondering why is that?
Marc Biron: I think there is for sure, nothing structural. I repeat that I was in China last -- 2 weeks ago. Yes, my conclusion from the trip, which was the same when I was in China in November, I think that the Chinese customers, they like the Melexis product. They have a lot of trust on our quality. Yes, they like our support, technical support is very important in China. I confirm there is no structural -- there are no structural problem in China, also not in Europe. Yes, we are facing this volatility. The order in China was very high in Q4. In Q1, it is lower because of this Chinese New Year, also because the incentive scheme for EV in China have changed from '25 to '26. But from my perspective, we still have the same traction. And we -- when we refer to the design win or when we refer to all the pipe of opportunity, the discussion with customers, I don't feel any problem there.
Karen Van Griensven: Yes. And I also want to add that Melexis went -- started the cycle much later than all the other players in the market. Usually, we started later, but we also come out later. In general...
Francois-Xavier Bouvignies: I understand that. Yes. But versus Allegro, I mean, I would say why they would see differently than you. I mean they do similar things, not only the same. But what is your revenue in China? I mean, in Q1, was it -- how much down it is China, you would expect to be?
Karen Van Griensven: China, it will be down quite a bit compared to -- well, based on the order intake we have now because January was still strong. February, March is still obviously still order intake. February looks quite weak, but that's probably a lot to do with China New Year. And March, yes, orders are still coming in. So it's also -- even in Q1, it is difficult to predict where exactly we will be landing because of, yes, the very late order intake, certainly also in China. But it's particularly low compared to Q4. But as I mentioned, we don't -- yes, there is no reason to believe why that wouldn't throughout the year pick up again. Q1 tends to be always a lower quarter -- well, not always, but usually a lower quarter in China anyway.
Francois-Xavier Bouvignies: So on the year-on-year China, what do you expect your guidance?
Karen Van Griensven: On a year-on-year, yes, it will be probably close to what we had a year ago. It might be slowly lower. But like we said, order intake is coming in quite late.
Philip Ludwig: Francois, maybe just to come back to some of your comparisons, it's Philip here. Allegro, I think the 5-year CAGR is 2% to '24, okay? We can update for '25 as well, whereas ours is 14%. In China, we outgrow Allegro as well over a 5 years period. So I know we look ahead. Of course, we also look ahead. But I think if we look over time, as Karen mentioned, the quarters are not always in sync. I think the long-term growth track record of Melexis stacks up well versus many, if not the majority of our peers.
Operator: The next question is coming from Robert Sanders from Deutsche Bank.
Robert Sanders: Yes. Sorry, the line just went bad. I didn't hear the answer to the last question. Did you say the year-on-year decline in U.S. dollars or euros for Q1 China alone? Did you answer that?
Karen Van Griensven: Well, like I said, order intake is very late. There could be a decline in the first quarter, although in January, we haven't seen it yet. And this is what -- that's the reality. February and March is still in orders. So very difficult to predict even in 1 quarter where we will land, particularly for China.
Robert Sanders: Got it. My question was more around in the medium term. So you've seen a lot of the BEVs being canceled by Western OEMs, more than 30% of launches have been canceled. It looks like EV demand is just not flying without big fingers on the scale. And now that they're taking away subsidies in the U.S. and China, it just doesn't seem to be as strong. So you're going to see a lot of people moving back to plug-in hybrids and zonal architectures as a kind of bigger source of differentiation. So does that affect your TAM growth? Because if I remember rightly, you brought it down at the CMD, your long-term growth. Does it affect how you think about that? Or are you kind of agnostic still to that trend?
Marc Biron: I share your view indeed that hybrid, let's say, seems to be the preferred option for many of the customers and many of the manufacturers. And I would say hybrid is great for Melexis because there is -- and an electric engine and a combustion engine. Then we -- let's say, we win 2x because we contribute to the electric engine and we contribute to the ICE. Then for us, it's the best of both worlds, the hybrid motorization. And what I said during the introduction speech, in China, I was really impressed how much those hybrids were taking over because initially, let's say, the hybrid had a battery with, let's say, 50 kilometer range, but now it's 100, 150 and 100 to 150 kilometers. In Shanghai, for example, it's more than enough to move in the city during 1 day. And it's the reason why this hybrid is gaining traction.
Robert Sanders: And what you see at the Western OEMs, obviously, they're restarting their development. I mean, a lot of their combustion engine R&D was shut down. Now they're restarting those teams. Is that a good thing for you because they will get more involved in the engine management side? Or is it there's a short-term issue because of cancellations and then a long-term gain because of plug-in hybrid ramps?
Marc Biron: Yes, discussing with our customer, the Tier 1, the Tier 1 have faced indeed in '25, a lot of or some cancellation of platform. I think it's also one of the reasons of the current situation. They all told me that '27 will be different. And in '27, they forecast a lot of new platform, which is one aspect. And to answer your question, for Melexis, what is important is that either the electric engine or the combustion engine come with a new platform because the new platform is usually much more electronic rich with much more comfort, much more safety features, then those new platforms are always a benefit for Melexis. But it could be combustion engine or electric engine, it doesn't make a lot of difference for us because we are -- we have the same kind of contribution in both type of motorization. I repeat my previous answer, but hybrid is the best of both worlds for us.
Operator: The next question is coming from Guy Sips from KBC Securities.
Guy Sips: My question is on the inventory level of EUR 300 million plus. We see it increasing quarter-over-quarter. How comfortable are you with this inventory level? And do you expect that we are now on the peak?
Karen Van Griensven: Yes, it is our -- it's indeed a peak level. As we progress in '26, we will probably keep it around that level, maybe a bit lower. But we don't have the intention to further increase it.
Marc Biron: And I think this inventory is a strategic asset for Melexis because we have a lot of in-quarter order, and we can respond positively to those in-quarter order because we have the inventory with the right product. And when the business will pick up anytime soon, we'll be ready to ship to our customers, thanks to these inventories, and we really see this as an asset. And I think it's much more expensive to lose business in the future than to keep this inventory as it is today.
Guy Sips: And a follow-up question on your sales in Europe, which is just above EUR 50 million in the fourth quarter of '25. And I think you have to go back to COVID times to see this kind of level. What is actually -- what could be a point for your European sales? Is it -- yes, can you elaborate a little bit on that?
Marc Biron: Yes, the center of gravity of the business is indeed for the time being, at least moving from Europe to China or to Asia. That being said, yes, Europe remains very important. Also U.S. remains important. But this move from Europe to China is indeed the trigger for us to focus our organization on China. We have -- at the end of '25, we have updated our organization in China in order to give to this organization in China more autonomy, more autonomy in the business aspect to give them the opportunity to answer very quickly to our customers because we do realize that in China, speed is really a essence, and we should avoid the communication flow between China and Europe, then the autonomy has been given to the China team to be on top of the business discussion. And I think this is a very important asset for the future to strengthen our China team because indeed, for the time being, and I repeat for the time being, the business is moving to China. But we also see that in the expectation of the OEM, the European OEM in '26, but even more on '27, they will launch more and more new car with new platform, EV, cheaper, and it's not impossible that a kind of rebalance will happen later this year or later next year.
Karen Van Griensven: And I just want to repeat that Europe had a strong start. Q1 is higher than Q4.
Marc Biron: Yes.
Operator: The next question is coming from Marc Hesselink from ING.
Marc Hesselink: Yes. First, I would like to come back a little bit on the volatility that you call out on the revenue because I think the fourth quarter was a bit below what you initially expected, then another step down in the first quarter and a quite significant step-up in the second quarter sequentially. Just trying to understand that a bit better. What changed there? Because I think earlier, we talked more about small sequential improvements quarter-over-quarter. And now you certainly see this volatility. I think you discussed it, but just to really square what is really happening causing this volatility?
Karen Van Griensven: Yes. So like we mentioned, what we -- the drop is fully for Asia and then also particularly for China. And China from one quarter to the other also last year can really move up EUR 10 million in one -- easily move up close to even EUR 10 million from one quarter to the other. So we don't have really snubber reason than there is huge volatility in China in general and that it is obviously also impacted seasonally by China New Year.
Marc Biron: Yes. And it has been also amplified, sorry. It has been amplified by the change of incentive scheme in China at the end of '25.
Marc Hesselink: Okay. Okay. And then the second one is a clarification on what you said on the pricing because I think you said that the ASP will be very close to '26 level to the '25. But you do call it out as one of the reasons for maybe a bit slower revenue in the beginning of the year or less -- no growth in the first half of the year. So just wanted to understand if you -- like product for product, are the ASPs stable? I think that would be probably a bit better than what you initially guided, which was the normal decline of 3%, 4%, I guess.
Karen Van Griensven: No, we need to make that -- we need to clarify that. Stable ASP doesn't mean that we don't have price erosion. The price erosion is mid-single-digit expectation for '26, but the product mix has a positive effect in '26. This can vary from 1 year to the other, the product mix effect.
Operator: The next question is coming from Michael Roeg from Degroof Petercam.
Michael Roeg: I have a question about the China business, which was very strong in Q4. Do you have a sort of a crude estimate how much of your products end up with the top 5 Chinese carmakers and how much ends up with all the other names?
Marc Biron: On the top 5 carmaker, I cannot answer. What we know is that, let's say, half of the Chinese business is for Chinese OEM and the other half is for the European OEM.
Michael Roeg: And within those Chinese OEMs, you do not really have a good view on how much ends up with sort of the big companies, the familiar names and how much ends up with that very long tail?
Marc Biron: No.
Michael Roeg: Okay. Do you see a risk that if there eventually will be a shakeout of all those smaller players that eventually their car volumes will move to the big players, the big domestic players, which have much better pricing power than those smaller players? Have you done scenario analysis for that? How much that could impact your business?
Marc Biron: Yes, the consolidation will indeed happen. There are a lot of OEM in China then for sure, consolidation will happen. But we don't have an accurate answer to your question. I think indeed, innovation will also help at the end, it's all about new products that we bring on the market to compensate this price erosion. Yes, we have -- in the product that we have launched recently, we have products with much more ASP, much more margin. I don't see any reason why this consolidation will be negative because on the other hand, having a lot of small customers, it's also -- it requires a lot of effort to support all those customers, especially in China, we have a lot of application engineers working with all those small customers, then there is also a very negative effect to have so many small customers. And I could also add that it's the case in Europe. In Europe, we have a lot of big customer and a very limited number of small customers, then it will probably indeed move in this direction in China, but we are able to manage it in Europe, then we will manage it in the same way in China.
Michael Roeg: Okay. Well, my impression was that the bigger OEMs in China have much more favorable purchasing conditions so that if the volumes were to move to them, that it could affect your overall ASP in China. But you will be -- you think there will be some compensation in being able to lower your OpEx.
Marc Biron: I think it's the same in Europe. The big customers in Europe. Our big customers in Europe have also a better pricing than the small customer. And it's why also we like this long tail for the reason you mentioned. But yes, it will be the same in China, and we will manage the situation in the same way. I think it's -- the price metric is always high volume, lower price.
Karen Van Griensven: But overall, we expect high price erosion in China than in the rest of the world. That is calculated in our model.
Operator: We go on now to the last question, and it's from Nigel van Putten from Morgan Stanley.
Nigel van Putten: I just wanted to talk about the growth or the guidance for the full year, which is flat, maybe not comparing it to others, which have indeed sort of implied some growth you guys aren't able to. So how do I sort of get from -- I think in the past, you would say on sort of 0 SAAR growth still penetration would add, what, high single digits. Let's say that's mid-single digits today. You said pricing in the mix is kind of flat. There's no real inventory digestion going on. So how do I get from, let's say, mid- to high single-digit volume growth to 0 on the euro side? Is that the dollar? Is that sort of headwinds from the nonautomotive business? Is there a mix? Could you just give us some more color on the pieces -- the building blocks how to get down from a volume number to revenue number in euro? That's my first question.
Marc Biron: It's a mix, as you mentioned, we did not discuss in the Q&A about the nonautomotive business. I mentioned it in the introduction speech. But yes, one of our big nonautomotive customer has decided to alternate their supplier. And I think it's quite normal. We had the chance to be during 3 years in a row in the application. In '26, they have decided to make the alternate, which affects our revenue. Yes, again, it's not abnormal. We are -- we have good hope that we will come back in the next years. We have good technical features. But this is indeed in the midst of answer. This is one of the reasons that we did not mention in the past.
Nigel van Putten: It's great to receive one of the reasons. Can you quantify the impact and also give us just a bridge from -- because it's -- yes, I mean, I've covered companies for quite a while. It's always been volume growth. It used to be teens and high single digit. I think it's now mid-single digit, but still this is a material step down. And I don't have any ways to calculate that, then it would be super helpful, very helpful for you to guys to give a little bit more disclosure and color on how to model the business into '26 and what are the moving parts?
Marc Biron: And our customer and probably also OEM are navigating to cautious recovery in auto, and it's why this volatility in sales order is coming. I think it's difficult to give more color and really to give the building block for your answer because of this high volatility.
Nigel van Putten: But the whole volatility in the near term, and then I'll move on after this one. But I do want to try again. It's for the full year. So it shouldn't be -- it's not exactly normalized, but it's not the month-to-month volatility that you point out. I fully comprehend that. But it's just compared to peers and also compared to your -- the financial model, the growth model that I'm used to, this is very different. I mean I could have understand it. It used to be the bullwhip inventory effects, that is a big impact, but that doesn't seem to be driving it. So I'm just -- I need to update my understanding about how I model your top line, I think, and it would just be helpful if we can get a little bit more color on that.
Marc Biron: In the longer term, we confirm our high single-digit growth. What we have mentioned to the CMD is still fully valid. We have the design win, we have the opportunity pipe. We have in our development, the relevant product to reach this growth. And in long term, I think the model did not reach. In short term, we have this volatility that we mentioned. We have the price erosion that we have mentioned, mid-single digit, low to mid-single digit. This is the reason of the change. But I repeat in long term, we are fully confident that what we have said to the CMD is still valid. We need now to face the short-term headwind.
Nigel van Putten: Okay. More math now on the gross margin. I think, Karen, you've talked about the potential of sort of 4 percentage points worth of idiosyncratic or self-help or specific items. I think 2 percentage points related to the yield improvement. I think that's probably what we're seeing in the first half, if I'm not mistaken. And then on top of that, there was potential further improvement or the dollar, I think some normalization would have helped. You've mentioned the restructuring impact of about 1 percentage point before. So I'm just trying to get to the full year gross margin. It seems like given there's no growth either, we probably should assume like 40% for the full year. Yes, can you maybe elaborate a little bit if that's the correct way of thinking? Or is there an element missing?
Karen Van Griensven: That is correct. Indeed. We need more operating leverage to push it beyond that 40%.
Nigel van Putten: Okay. And maybe then just a quick follow-up. You've guided first half gross margin, not first quarter. I think it's just how you usually talk to the market. But should we assume that improvement towards 40% in the first quarter? Or is it more towards the second? So we step up from I don't know, 39.5% and then...
Karen Van Griensven: From Q1, we expect.
Operator: This was the last question in the queue. There are no more questions at this time. So I hand the conference back to the speakers for any closing remarks.
Marc Biron: Thank you, operator. To summarize, 2025 was a year of navigating through cautious and choppy demand while maintaining our cost discipline. In parallel, we have introduced many innovations for automotive applications, grew business opportunities, accelerated our China strategy and took action to improve margins. These efforts will start to deliver in '26, and we will continue to build on them to further strengthen our business and to move towards our long-term objective. Thank you for joining the call, and goodbye.
Operator: Thank you for joining today's call. You may now disconnect.